Stephanie Carrington: Thank you operator. Good morning or afternoon, depending on where you are and welcome to today's call to review Verona Pharma's results for the three and six months ended June 30, 2019. On this call, I am joined by Jan-Anders Karlsson, Chief Executive Officer and Piers Morgan, Chief Financial Officer. I trust you have seen the press release that included the results for the three and six months ended June 30, 2019, as well as the operational update and the press release with the data from the Phase II study with a dry powder inhaler formulation of ensifentrine. If you have not, the press releases are also available on the Investor Relations portion of Verona Pharma's website. A slide presentation related to the DPI Phase II trial data has been posted to the Investor Relations section of the website. On today's call, Jan-Anders will first provide a clinical development and business update. Piers will then review the financial results for the three and six months ended June 30, 2019. We will then open the call to your questions and expect this call to last approximately 60 minutes. As a reminder, the conference call is being recorded and will be available on Verona Pharma's Investor Relations website shortly following the conclusion of today's call. During the call today, the team will be making forward-looking statements and we remind you of the company's safe harbor language. All statements that do not relate to matters of historical facts should be considered forward-looking statements, including, but not limited to, statements regarding ensifentrine as a potent bronchodilator and anti-inflammatory agent, the company's ability to provide a promising therapeutic effect through the delivery of ensifentrine, the timing of the top line data for its ongoing clinical trials, timing of the end of Phase II meeting with the FDA and planned Phase III trials, changes in its clinical development plans based on additional data and the potential for certain formulations of ensifentrine to address larger markets and expand the commercial opportunity of ensifentrine, partnering, further development and commercialization of these formulations and the company's plan to explore these formulations in cystic fibrosis and asthma. These forward-looking statements are based on management's current expectations. These statements are neither promises nor guarantees, but involve known and unknown risks, uncertainties and other important factors that may cause the company's results and performance or achievements to be materially different from our expectations expressed or implied by the forward-looking statements. Any such forward-looking statement represents the management's estimates as of the date of this conference call. While the company may elect to update such forward-looking statements at some point in the future, it disclaims any obligation to do so even if subsequent events cause its views to change. With that, I will turn the line over to Jan-Anders. Go ahead.
Jan-Anders Karlsson: Thank you Stephanie. It's a pleasure to have the opportunity to provide you with a clinical development and business update today. 2019 is a very busy year for Verona Pharma with a number of important value-creating clinical milestones. Today's update will naturally focus on the new and exciting data with the dry powder formulation of ensifentrine. As a reminder, ensifentrine, or as it used to be called RPL554, is a unique first-in-class dual PDE3 and PDE4 inhibitor, which we believe will boost lung function, reduce symptoms and improve quality of life in the millions of patients with moderate-to-severe COPD in the U.S. and globally. Ensifentrine has the potential to be the first novel class of bronchodilator in over 40 years and the first therapy for the treatment of respiratory diseases that combines both bronchodilator and anti-inflammatory activities in one compound. We believe that it's truly differentiated from all existing COPD medications and importantly has the potential to produce sustained bronchodilation and anti-inflammatory effects in the large number of patients who remain symptomatic and with a decline in lung function, despite being on maximum standard of care therapy. First of all, I am very happy to share with you some more details around the very positive Phase II data with a dry powder inhaler, or DPI, formulation of ensifentrine on COPD that we announced yesterday. In conjunction with my comments, I will be referencing the slides that were posted as a PDF to the Events page of the Investor Relations section of our website, as Stephanie was also mentioning. The study was conducted by Joseph Boscia III, an MD and pulmonary physician and principal investigator at the VitaLink Research Union in South Carolina, U.S. He was very encouraged by the data and I quote his remarks from the press release, "This highlights the potential for ensifentrine's unique mechanism of action to provide lung function improvement and meet the urgent clinical need for new treatments for patients with this progressive and debilitating disease." In this Phase II study with a DPI formulation of ensifentrine in 35 moderate-to-severe COPD patients, all primary and secondary lung function endpoints were met and the drug was well-tolerated at all doses. This was a randomized, double-blind, placebo-controlled crossover study, evaluating efficacy and tolerability of twice daily dosing for seven days of this novel dry powder formulation and the study details are provided in slide three of the attached PDF. As you may recall, we reported positive efficacy and safety data also from the single dose part of the first part of the study in early March of this year. The primary endpoint of this seven day study now is on slide four. There was improvement in lung function as measured by peak forced expiratory volume in one second or we call it FEV1 during the first four hours of the dosing, as a standard measure of exhaled breath volume, as you have heard before and the endpoint was taken on day seven. This was highly statistically significant with a P-value actually of less than 0.0001 for all 4 doses, 150, 550, 1,500 and 3,000 microgram. And you can see substantial bronchodilator response on the slide, of course, clinically meaningful as we have observed in previous studies with a nebulizer formulation. Importantly, the data does demonstrate the dose-dependent improvement in lung function. The average FEV1 during the 12-hour dosing interval on the last day, on day seven, together with a very good trough data also on day seven, you can see in slides five and six, demonstrates clearly the durability of the effect during the 12-hour dosing interval and the dry power ensifentrine is very suitable for twice daily dosing. Once again, ensifentrine was shown to be well-tolerated at all doses with an adverse event profile similar to placebo and a safety profile consistent with other ensifentrine studies that tested a nebulizer formulation and some of the statements you see on the last slide on slide 7. In addition to this trial with a DPI formulation, we are conducting a Phase II dose-ranging trial to evaluate the PK or pharmacokinetic profile, efficacy and safety of ensifentrine now delivered by a metered-dose inhaler, MDI inhaler, in patients with moderate-to-severe COPD. The MDI trial is a randomized, double-blind, placebo-controlled and crossover design, two-part design and we anticipate reporting data from the first part of this trial, so at the single dose part, in the second half of 2019 and final data in the first quarter of next year. This data would have prototype dry powder formulation supporting ensifentrine's potential to be delivered via a handheld device. As most patients with COPD and asthma for that matter, use convenient DPI and MDI devices for their medications, we believe the availability of ensifentrine in these inhaler formats could greatly expand the market potential for ensifentrine to the millions of COPD patients who prefer to use such devices. It is estimated there are over five million COPD patients in the U.S. alone that use DPI and/or MDI devices and the market was valued at approximately $6 billion in 2017. Similarly, in the five main countries in Europe, there were about $1.8 billion of sales of drugs in DPI and MDI devices for COPD. So a substantial market opportunity. Our dry powder proof of concept formulation can be adapted to different inhalers used in the market today and to fully realize its value, we plan to partner a further development and commercialization of inhaler formulations of ensifentrine. We believe that this data will significantly enhanced ensifentrine's commercial potential. However, as you know, our lead formulation of ensifentrine is the nebulizer formulation, which is in Phase IIb and we expect to enter Phase III pivotal trials next year for the maintenance treatment of symptomatic COPD patients. COPD is a progressive inflammatory respiratory disease. There's no cure. Few therapeutic alternatives are available for these patients. The bronchodilator and anti-inflammatory properties of ensifentrine maybe be particularly helpful for these symptomatic patients that suffer from chronic cough, sputum production and breathlessness with a very high unmet medical need. Our markets and payer research show that nebulized delivery is the preferred route of administration for more severe COPD patients, especially in the U.S. where approximately two million patients remain symptomatic and with a deteriorating lung function. Despite taking currently available medicines, few treatment options remain for these patients and there are few, if any, new treatments in development for these severe COPD patients. In addition, the regulatory pathway for the development on nebulized drug products is well established and again, particularly in U.S., under auspice of FDA. In May 2019, we initiated a Phase IIb dose-ranging study evaluating nebulized ensifentrine as an add-on treatment with a long-acting bronchodilator in patients with moderate-to-severe COPD. This four week randomized, double-blind, placebo-controlled, dose ranging trial is designed to evaluate the safety and efficacy of nebulized ensifentrine as an add-on to inhaled tiotropium or Spiriva, a LAMA very commonly used to treat COPD and to establish the dosing regimen for a potential Phase III program in COPD. The Phase IIb study will enroll approximately 400 patients with COPD at about 50 sites in the U.S. The primary endpoint of this study is improvement in lung function as measured by Peak FEV1. Key additional endpoints include measurements of respiratory symptoms and quality of life by different patient reported outcome tools. We continue to expect to complete patient dosing in this four week Phase IIb study around year-end to progress into pivotal Phase III trials next year, following an expected end of Phase II meeting with the U.S. FDA. Based on the totality of the information obtained with ensifentrine, we plan to conduct two regulatory pivotal Phase III trials, each of six months duration and one of them with a 12-month safety extension. We expect to conduct the studies in COPD patients with no background treatment or in patients using only one bronchodilator and FEV1 to be an important endpoint for a broad label. Separately, we plan to conduct additional market positioning studies for physicians and payers in more severe patients on dual and triple COPD therapy. And we expect to start, as I mentioned, the two Phase III regulatory trials in 2020. We anticipate key data readouts over the second half of this year before we go to Phase III. That will potentially have a very significant impact on the development programs and commercial value of ensifentrine. Based on today's update, the DPI formulation of ensifentrine we did talk about has shown a very good bronchodilator effect, sustained and to be well tolerated and we believe this data has significantly enhanced ensifentrine's commercial potential. We do expect to report data from the ongoing 400-patient dose ranging Phase IIb study around year-end. The data from this study will provide guidance for our end of Phase II meeting with FDA, followed by a start of Phase III next year. And the first Phase II trial with an MDI formulation that commenced in June of this year, we anticipate to report single dose data from the first partner trial in the second half of this year and a final multiple dose data, seven days dosing period, expect in the first quarter of 2020. We believe that all these events are important value creating clinical milestones, providing additional treatment alternatives for patients with COPD. I will now turn the call over to our CFO, Piers Morgan, to provide a financial overview. Piers, please.
Piers Morgan: Thank you Jan-Anders. Good day everyone and thank you for joining the call today. I will provide a brief recap of our financial position, our results for the three months and six months ended June 30, 2019 as well as our financial outlook. I want to refer you to the press release that we issued this morning, which we are filing with the 6-K. The release includes income, balance sheet and cash flow statements for the three months and six months ended June 30, 2019. Given that we are headquartered in the United Kingdom, our financial results are in pounds sterling. For your convenience, we have included a translation to U.S. dollars using the period-end exchange rate on June 30, 2019, at a rate of $1.2704 per British pound. Turning to the income statement for the six months ended June 30, 2019. The loss after tax for the six months ended June 30, 2019 was GBP14.4 million or $18.3 million compared to GBP14.6 million for the prior year period. This represents a loss of GBP0.137 per diluted share or a loss of $1.39 per ADS for the six months ended June 30, 2019 compared to a loss of GBP0.139 per diluted share for the prior year. The total comprehensive income and loss for the six months ended June 30, 2019, was calculated as follows. Research and development costs were GBP15.8 million or $20.1 million for the six months ended June 30, 2019, compared to GBP8.3 million for the six months ended June 30, 2018, an increase of GBP7.5 million. The increase was predominantly attributable to a GBP6.9 million increase in clinical trial expenses relating to full clinical trials either ongoing or in preparation for ensifentrine in the six months ended June 30, 2019, compared to two trials in the six months ended June 30, 2018. Salary costs increased by GBP0.5 million, reflecting the expansion of the clinical team. General and administrative costs were GBP4 million or $5 million for the six months ended June 30, 2019, compared to GBP3.2 million for the six months ended June 30, 2018, which is an increase of GBP0.8 billion. This increase was primarily attributable to GBP0.4 million increase in professional and market research fees and a GBP0.2 million increase in other overhead expenses. Consequently, our operating loss of GBP19.8 million or $25.2 million compared to a loss of GBP11.5 million for the prior year period. Finance income was GBP2.2 million or $2.8 million for the six months ended June 30, 2019, compared to GBP1.1 million for the six months ended June 30, 2018. The increase in finance income was primarily due to a decrease in the fair value of the warrant liability of GBP1.7 million compared to an increase in the liability in the six months ended June 30, 2018, which is recorded in the finance expense in that period. In the prior period, there was also a foreign exchange gain on cash and short term investments of GBP0.7 million compared to a loss for the six months ended June 30, 2019, which is also recorded in finance expense. The finance expense for the period for six months ended June 30, 2019, was GBP0.2 million or $0.2 million compared to a finance expense of GBP6 million for the six months ended June 30, 2018. The decrease in finance expense was because of the decrease in the fair value of the warrant liability as recorded in finance income and that compares to an increase of GBP6 million in the value of the liability in the prior year period, six months ended June 30, 2018. Foreign exchange losses on cash and short term investments during the six months ended June 30, 2019, resulted in a loss of GBP0.1 million. Taxation for the six months ended June 30, 2019 amounted to a credit of GBP3.4 million or $4.3 million compared to a credit of GBP1.8 million for the six months ended June 30, 2018, which is an increase of GBP1.6 million in the credit. Our credits are obtained on our qualifying research and development expenditure. The increase in the credit amount in 2019 was attributable to our increased expenditure on research and development compared to the prior period and a change in the mix of the recoverable spend. Moving now to the three months period ended June 30, 2019. The loss after tax was GBP9.0 million or $11.4 million compared to a profit after tax of GBP0.6 million for the prior year period. This represents a loss of GBP0.085 per diluted share or a loss of $0.87 per ADS for the three months ended June 30, 2019. The total comprehensive income and loss in three months ended June 30, 2019 is calculated as follows. Research and development costs for the three months ended June 30, 2019, were GBP9.9 million or $12.6 million, which is an increase of GBP6.0 million compared to $3.9 million for the prior year period. The movement was predominantly attributable to a GBP5.6 million increase in clinical trial expenses relating to clinical trials of ensifentrine either ongoing or in preparation in the current year period. In addition, salary costs increased by GBP0.2 million, reflecting the expansion of our clinical team. General and administrative costs for the three months ended June 30, 2019, were GBP2.1 million or $2.7 million, which is an increase of GBP0.3 million compared to GBP1.8 million for the prior year period. The increase was primarily attributable to a GBP0.2 million increase in other overhead. Finance income for the three months ended June 30, 2019, was GBP1.0 million or $1.3 million compared to GBP5.3 million for the same period last year. Finance income in the three months ended June 30, 2019 comprised GBP0.1 million in relation to the decrease in the fair value of the warrant liability compared to a GBP3 million decrease in the prior period together with GBP0.7 million on foreign exchange gain on cash and short term investments in the three months ended June 30, 2019, which compares to a GBP2.1 million gain in the prior period. Finance expense for the three months ended June 30, 2019, were GBP36,000 or $46,000 compared to GBP35,000 for the same period last year. Taxation for the three months ended June 30, 2019 amounted to a credit of GBP2.1 million or $2.7 million compared to the credit amount of GBP1.0 million in the prior year period. The credits are related to our qualifying research and development expenditures and the increase in the credit amount was primarily attributable to the increased level of research and development in the second quarter as compared to the prior year, which was just described. We ended the second quarter 2019 with GBP46.5 million or $59.1 million in cash, cash equivalents and short term investments, which comprise cash deposits with maturity of more than three months. Post June 30, 2019, the company received GBP4.4 million cash in respect to the 2018 tax credit on qualifying research and development expenditure. Net cash used in operating activities increased to GBP18.1 million for the six months ended June 30, 2019 from GBP12.3 million for the six months ended June 30, 2018 and this was due to an increase in operating costs driven, as I mentioned, by higher research and development costs as well as differences in the timing of supplier payments. We expect that our cash, cash equivalents and short term investments will enable us to fund our operating expenses and capital expenditure requirements through the end of our Phase IIb development in nebulized ensifentrine for the treatment of COPD and our proof of concept studies with both DPI and MDI formulations of ensifentrine for the treatment of COPD. And with that, we would like to turn the call back to the operator and open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Lucy Codrington with Jefferies. You are now live.
Lucy Codrington: Hi there. Thank you for taking my questions. Just a couple from me, a couple relating to the DPI data. I was just wondering were the patients on any form of background therapy or were they taken off any therapy prior to starting the trial? And then secondly, what device did you use in the trial? And do you have permission to continue using that device in any further studies? And then my last question relates to the OpEx. There was quite a jump in R&D spend in the second quarter and I was just wondering if we should be using that quarter as a run rate for the rest of the year? Or whether we should be thinking more about the first quarter run rate? Thank you.
Jan-Anders Karlsson: Yes. Thank you Lucy. Let me start with the two questions before I let Piers response as well. So background treatment. So these patients are normally on treatment, different treatments. They were taken off the treatment before start of this study. So we actually did study the DPI formulation on patients, COPD patients moderate-to-severe with no background treatment. And this is similar, how we did, for example, the four-week study, remember, from last year with a nebulized formulation. And we were very pleased to see that both from a potency and efficacy perspective and also the magnitude of the response and the safety as well is very similar to what we have seen also with a nebulizer combination before. So that was very positive. We also saw a dose-dependent effect which, I know, people have asked about. We of course, know it's there and this was again confirmed in this, as we saw with the single-dose data in March this year. You asked about the device. So yes, this is a commercially available device and a simple capsule device and of course, we can continue to use that actually up to commercialization. That's, of course, where we said we would like to use a partner to work with and perhaps also a partner that has a more comprehensive and advanced, perhaps, device than what we have used in this particular study. But let me just point out, I think the proof of concept formulation that we have can be adapted to any type, we believe, dry powder device that's available out there. So it should be possible to also fit it into potential partners' devices essentially, whichever type they have. So we think that's also a very important aspect of the data that we showed today. Piers, did you want to talk about OpEx and run rate?
Piers Morgan: Sure. Yes. Thanks Lucy. So you are absolutely right. Expenditure did step-up in the second quarter. And in particular, as you know, we have been preparing in the second quarter and then initiated the 400-patient study that Jan-Anders referred to earlier. So yes, expenditure for the remainder of the year is more likely to be closer to that seen in the second quarter than in the first quarter. That said, in the first quarter, we did still have some residual costs from the three-day add-on study to do LAMA/LABA. And obviously, we had the DPI study was ongoing, which we have now completed. But overall, I think the second quarter is a better guide than the first quarter to our OpEx.
Lucy Codrington: Great. That's really helpful. And just one follow-up, if I may. Would it be possible eventually to see the kind of improvements in FEV1, how they relate to their baseline level of lung function before they were taken off the background therapy? Is this something you will be looking at?
Jan-Anders Karlsson: Yes. So normally, as we express baseline is from the start of the study. We don't usually record when they are on their own standard medication and how that changes during or during the run in. So it usually the baseline just before they start treatment with ensifentrine. So I am not sure we have all that data that you were suggesting. And of course, if you are hinting that it may be difficult to make any comparison in these patients to their standard medications, that we cannot do. But I think we have seen from publications, we have seen from other chemical trials and we believe that the size or the magnitude of effect is pretty impressive and certainly clinically meaningful and of course, highly statistically significant as well. So we are very happy with this data and that we can replicate what we have seen actually very positive on the nebulized formulation as well.
Lucy Codrington: Okay. That's great. Thank you.
Jan-Anders Karlsson: Thanks.
Operator: Your next question comes from the line Liana Moussatos with Wedbush Securities. You are now live.
Liana Moussatos: Thank you for taking my questions. They are all around potential partnerships for the DPI and MDI. Would you consider partnering the DPI's formulation? I understand different companies focus on MDI versus DPI. And so now that you have the DPI data, would you consider partnership discussions before the MDI data comes out? Or are you going to wait?
Jan-Anders Karlsson: Yes. First question, Liana. I think we will certainly not wait talking to people, although we cannot give a time line, of course. But we are interested, of course, in talking to people about what we think are very exciting data with the dry powder formulation. But you are correct. Some companies prefer a dry powder for their franchise, if you wish and others have MDI formulations rather for their COPD version of drugs. So there is some variability out there. And we wanted to make sure that before we partner the one or the other thing that we fully understand both the DPI and the MDI. We think, of course, both will be highly effective and very interesting propositions. So in the end, I do think that there will have to be information on both the DPI and MDI, before we would do any agreements with anybody. So in that respect, we would need to wait for the MDI data. And I think we would not expect to partner with two different companies. I think one partner would then have the handheld inhaler device formulation and then focus more on the one or the other or maybe both. But that, of course, depends on the partner and their interests.
Liana Moussatos: Thank you very much.
Jan-Anders Karlsson: Thank you.
Operator: Your next question comes from the line of Tom Shrader with BTIG. You are now live.
Julian Harrison: Hi there. This is Julian, on for Tom. Thanks for taking my questions and congrats on all the recent progress. First, just curious how we should be thinking about the upcoming MDI and four-week add-on readouts in light of yesterday's data? I guess, more specifically, is it reasonable to expect read-through to one or both considering the dose-dependent activity we saw in yesterday's data? Thanks.
Jan-Anders Karlsson: Yes. Thanks for the question, Julian. The MDI data, I think we believe it will show a very similar pattern, if you wish, as to what you are seeing with the dry powder formulation. That's the working hypothesis. Clearly, we believe it will be dose-dependent, that it will be also of a sufficient magnitude that we will be seeing excellent data and that we also have a duration of activity, suitable for twice daily dosing as we now have seen. And of course, there is no reason as we see it that the good tolerability profile would be any different in an MDI formulation. But of course, we do the study to find out. You also asked about the neb formulation, nebulized formulation and the data reading out from our much larger Phase IIb study towards year end. And correct, we would expect that even if it's an add-on now to tiotropium or Spiriva, in that particular study is a little different. We still would expect to see a dose-dependent effect. But as you see, the curve is quite flat. So while there's a dose dependent effect, I don't think that we will see a no-effect dose. So we will see a smaller effect with the lowest dose and in the nebulized formulation that's 0.3 milligram, or 0.375 milligram to be precise. And we expect that to be having a smaller effect than the larger doses. But of course, we do the study to figure that out.
Julian Harrison: Thanks. That's helpful.
Operator: Your next question comes from the line of Joon Lee with SunTrust Robinson Humphrey. You are now live.
Fang-Ke Huang: Hi. Thank you for taking our questions and congratulations on the positive DPI data. This is Fang-Ke, on for Joon. And just looking at the Peak FEV1 versus Average FEV1 data, there seems quite significant differences in terms of the magnitude of effect. And maybe just to further on that dataset. So you basically have two dosing per day, do you see any differences in terms of the Peak FEV1 during the morning and evening?
Jan-Anders Karlsson: Thank you. So, a good question. All the data that we have reported now is, of course, for the morning dose. And morning dose also the trough data is usually the level of activity before you dose in the morning. And then what you see on the slides four and five, six or four and five actually, is really the effect of the morning dose. We haven't really published here, the afternoon dose and we are still getting more data from this study. But from previous studies and for example, a study we reported earlier this year, the magnitude of effect is probably quite similar in the evening and in the morning. It may vary a little bit because you also have your inherent diurnal variation in patients. But in essence, we would expect it to be quite similar, both in the morning and in the afternoon. And what we really like to highlight is, of course, the dose dependency and the trough effect, which was about 100 milligrams or so for the higher three doses, which we think really confirms that there is sufficient activity to cover during the day, obviously and even more so during the evening, which is most important. That's when the patients are worse off. So we believe that it will be quite similar. We have seen that with the nebulized formulation. We think, is a compound property. It's a new mechanism of action as a PDE3, PDE4 inhibitor, bronchodilator, anti-inflammatory. And we know both properties exist at the same time. But here, of course, in a short one-week study, we only look for the bronchodilator response that we expect, of course, also that there's the beginning of an anti-inflammatory effect in these studies that we are not picking up in the measurements of lung function here.
Fang-Ke Huang: Great. Thank you for the color and really helpful. And then secondly, so on your slide six for the morning FEV level and then including the placebo levels in the slide. Can you just give us the number for the placebo? It's obviously a significant difference of the 500 and 1,500 and 3,000.
Jan-Anders Karlsson: Yes. So what's happened normally is that placebo is sinking a little bit below baseline. And I do remember it does so here as well and that the active dosage stays above baseline and then the difference between the two. So what the FDA is looking for is, of course, the difference versus placebo, not the difference versus baseline, normally, in these types of studies. And that's why we reported the data in this way. And the same with the peak effect and the same with the area under the curve for 12 hours. So that's why we reported a trough data in this particular fashion. And of course, we will publish the data in the strike form, of course and as we will in the other studies as well and manuscript eventually as well.
Fang-Ke Huang: Got it. So basically this is the differences between the dose versus the placebo?
Jan-Anders Karlsson: Correct.
Fang-Ke Huang: Okay. Got it. And then lastly, if I may. And so given the ongoing divestment of the respiratory asset by GSK, so what do you think is the outlook for COPD space going forward? And what do you think about the appetite for partnership while GSK acted to create an opportunity for differentiated assets but on the other hand if, you know, pending headwinds in pricing reimbursement, maybe if you can give us your thoughts there and your strategy going into a Phase III? Thank you.
Jan-Anders Karlsson: Yes. Thank you. So I think this is, of course, a multi-faceted question. Let me at first elaborate to say our strategy is to have a broad label for nebulized ensifentrine so it can be used by all COPD patients. And we aim to do it as other compounds before us have obtained labels of maintenance treatment for COPD and we are replicating what others have used in a relatively benign testing with COPD patients with little background treatment or no background treatment. And that has been sufficient for that sort of label. And of course, that's our ambition right now. We do believe we have a particular usefulness of ensifentrine as a new mechanism, different from what's out there today, as an add-on treatment. Of course, it will work, as you have seen from all these slides as a first-line treatment. It will work very well for patients. But the real need in the market and the more differentiated profile is, of course, as an add-on to symptomatic patients that are already on max treatment. And it is with regret, I think, we see that GSK makes these decisions and others perhaps similarly because the magnitude of the problem, the unmet medical need for COPD patients is not going away. It is there and it's, if anything, increasing because patients have access to three groups or maybe four types of medications. So we believe that we have shown and we will continue to demonstrate that our compound ensifentrine, actually adds meaningful activity, both in terms of anti-inflammatory, bronchodilator and symptom improvement effects for patients already on max treatment. And that group of patients, this is millions of patients in U.S. already. And there's very little for them. And that is not that people haven't understood their existence. So both GSK and AstraZeneca were running large trials and Phase III programs for the anti-IL-5 antibodies that are, of course, approved for asthma but they both failed in exactly the population that really needs new drugs, unfortunately. So that means there's very little options for these patients. There are a few new things in development. And of course, we think ensifentrine is most attractive. And we think there is a very attractive commercial potential for ensifentrine as a nebulized treatment for severe patients that really like it. That's mostly a U.S. market, but now also for some patients that may be like to use an MDI or a DPI. And that's why we think this really expands the commercial opportunities of ensifentrine with these new dosage forms. But the patients are not going away. And the medical need is unfortunately not taken care of. And if others are leaving this space, that's their decision. We believe that we have this opportunity to really bring a compound forward in a meaningful way to these patients. And we think that there's a fantastic market opportunity, not only in U.S. but globally. And that's where we hope to find a partner that will help us to bring at least a dry powder MDI formulation forward. The nebulized formulation, we have a plan to take it through to NDA approval and for commercialization. But that's, of course, a few years away. Does that, in a long-winded way, explain?
Fang-Ke Huang: Yes. Really helpful. And I appreciate the color and thanks so much and congrats on the data again.
Jan-Anders Karlsson: Thank you.
Operator: Your next question comes from the line of Adam Walsh with Stifel. You are now live.
Neil Carnahan: Good morning guys. This is Neil Carnahan, on for Adam. Two quick questions. On the DPI and MDI formulations, can you talk to us about your plan going forward as far as defining how it will fit into the COPD treatment paradigm? Do you plan to do further Phase II studies on top of other treatments? And then my second question is on the pivotal study for the nebulized formulation. Are you going to run two six month Phase III trials, one will have a 12-month extension, if I understand them correctly? Do you plan to file on the data from the two six month studies? Or do you think you will need data from the 12-month extension safety study to file? Thanks guys.
Jan-Anders Karlsson: Thank you. Hi Neil. So let me take that question first. I think we absolutely need to have both the six months and one study with 12-month extension before we can file. That is the standard requirement in COPD from FDA and I think that will apply to us also. So one study will obviously finish before the second study. And then your first question was the DPI or MDI formulations. What do we plan to do next? So if I understood it correctly and otherwise, please shout. So today we are waiting. We are very pleased with the DPI, obviously, data. We are waiting for very similar data from the MDI formulation. And we will then discuss if there is an opportunity to bring one or the other of this formulation. If one of them looks different from a duration or magnitude of effect, so the initial effect will be quite similar and very good, to take one of them forward in additional positioning study. So I think that's what you were asking for, how to use it. So we could see that there is use for this DPI or handheld devices, MDI, DPI, also in patients that are a little broader classified as moderate-to-severe, not only the very severe-end or severe-end. And that's why we need a partner for a bigger program to satisfy that. There could be, of course, opportunities to do some positioning studies and we will carefully look into that to maybe make it more attractive or clearer identify exactly what the favorable positioning would be in combination with other drugs or as an add-on to some particular combination. That we can do. I think we need to wait for the final formulation so there's more work before you have a device and the drug together ready for Phase III and commercialization. That is a relatively large piece of work that we would rather do together with a partner as we would then have to use also a partner's device or dry powder or perhaps the partner is also particularly interested in MDI device. So therefore it makes sense for us to evaluate the two formulations when we have all the data in hand, understand if there is one or two studies that would enhance the value or make it clear where to position it. And then, of course, we will prefer to use the final drug-device combination when we have a partner actually, instead of guessing who could be a partner. That usually doesn't make sense. Is that clear, Neil?
Neil Carnahan: Yes. Congratulations on the data and the progress. Thank you guys.
Jan-Anders Karlsson: Thank you.
Piers Morgan: Thank you.
Operator: [Operator Instructions]. Your next question comes from the line of Patrick Trucchio with Berenberg Capital. You are now live.
Patrick Trucchio: Thanks. Hi. Good morning and afternoon. Regarding that positioning study to inform clinicians and payers in the nebulized formulation, can you give us a sense of what the design of the study could look like? And specifically, will the background therapy be similar to the Phase II three-day study that read-out earlier this year? Or would there be different background therapy in terms of the bronchodilator? Would this be a dose-ranging study, et cetera? And then is the intention to conduct this study with further learnings from the pivotal program or with the study initiated during the pivotal program?
Jan-Anders Karlsson: Yes. Hi Patrick. Thank you. Yes. Good question. I think we have learned quite a bit. We are very pleased with the data we saw earlier this year from the add-on study to Spiriva. The LAMA/LABA still at background. And we understood clearly where the compound works well and what should be changed in the next study. So clearly, we will look into a smaller dose range. I think now we are talking about an add-on study where we understand which dose or doses we study in Phase III. So it will not be a dose-ranging study. It will be a similar dose to what we are testing on the pivotal trials. We hope it's one dose but it could be two doses, of course. We also have learned about the importance of the stability of the background treatment. So we will take patients that are on stable treatment that they use normally for their disease. And then just testing it as an add-on. So it's not the experimental three-day crossover study. And we will also look probably at patients with different types of background medication, so not only Spiriva but the range of treatments that are applicable to the market as such, because actually that's what we are trying to mimic. And we will, of course, look at the endpoint, where we think it makes more sense and where our compounds can be most valuable to patients. And clearly, one of those situations is during the night, where we know that patients suffer. Of course, they have symptoms through the day, but also during the night there is a slowdown in lung function and their abilities through diurnal changes. And then, of course, on top of that, you have the disease. So that is the time when the patients are very vulnerable. So that, we will be interested in. And then, of course, making sure that we fully understand how to best design the study. And then, of course, having an outcome that we expect will be positive this time. You asked, should we do this study before, during or after the pivotal trials? I think this is a study that we intend to do for the market. This is a study that we would want to do for payers, for KOLs, for physicians, for patients to inform them of the value of ensifentrine as an add-on treatment for those patients that really have a declining lung function and symptomatic. And therefore, it is not part necessarily of the pivotal program for FDA. And if that's the case, we do not need to do the study before we start the pivotal trials. So we may not even have to have the data towards the end of the NDA filing, but maybe beyond. But that we need to understand better as we design the pivotal trials, our resources and put it all together in a plan that makes sense for us and of course, more importantly for investors and for the patients. But we are very clear. This works as an add-on treatment and it can be a very attractive commercial positioning for all those patients. And that's, of course, where we think that patients that are on daily type of treatment, still symptomatic, they need something more. Ensifentrine, we believe could be the answer to these patients.
Patrick Trucchio: Can you tell us if it does or does not make sense to conduct this positioning study exclusively in nonreversible patients, given the learnings from the Phase II three-day study from early this year? That's where the data pointed to an additional response at the 1.5 milligram dose in those patients? And then, separately, can you tell us what proportion of the moderate-to-severe COPD patient population is divided between those who are reversible to albuterol and ipratropium versus those who are nonreversible to those therapies?
Jan-Anders Karlsson: Yes. Thank you. A very good point. I think there are more patients that are less reversible. I mean, they are not none, but they are less reversible, maybe 70% or so, but we have to check that number. So there are more that respond less well or vigorously to existing medications. And interestingly, you raised the point because they are, of course, the patients that would need more treatment. They are more symptomatic. They certainly have less response, less magnitude of response to bronchodilators. And of course, if we in those patients can add both the bronchodilator and as we have shown, as you remember, these patients are also the ones that seem to respond very well to symptom improvement. So that is an interesting group of patients. If the study is only those patients or if it's stratified, perhaps, to cover both reversible and non-reversible but certainly you raised a very good point and we are very interested in that group of patients that we believe are, of course, those that need something new and different, a new mechanism of action, not more LABA/LAMAs, but something completely different. And that's where we are positing ensifentrine fits perfectly in that spot.
Patrick Trucchio: That's helpful. Thank you.
Jan-Anders Karlsson: Thanks very much.
Operator: Your next question comes from the line of Jens Lindqvist with Nplus1 Singer. You are now live.
Jens Lindqvist: Yes. Hello everyone. A couple of things already answered. Thank you for that. But I was wondering if you could just remind me please, I am aware of the U.S. patent protection that you have in place for the suspension formulation for ensifentrine for a nebulized version? But could you just remind me, please, what IP protection you have in place for the DPI and MDI assets? Thank you.
Jan-Anders Karlsson: Yes. Hi Jens. So, correct. We believe that there are a couple of important families of patents that are being filed globally. And for the DPI and for the MDI and for the nebulizer, they are all particle suspensions or, of course, the dry power is particle, straight off. We think it's particularly important here that we have a patent that covers this particular crystalline form that is used. There is one basic form of ensifentrine and we have a patent on that going out to 2031. So that should cover all of the existing formulations that we are working with. And of course, we have already tried in the beginning of the project, many years ago, a solution formulation. So it's not well soluble. And therefore, we believe we have to go through the suspension formulation of particles. So there's a patent to 2031. The formulation patent covers partly, of course, the nebulizer but perhaps also other aspects of our formulations, just beyond 2035. And then we have other patents that we have filed or are filing on both the MDI and the dry powder and manufacturing. So there is a family of patents or to say there are patent families, sorry, that goes beyond 2035 on ensifentrine and its use in different settings. And that is a global portfolio that we think is protecting the compound very well and it's granted in many of the major countries already.
Jens Lindqvist: Okay. Thank you.
Jan-Anders Karlsson: Thanks.
Operator: I am showing no further question at this time. I would now like to turn the conference back to Jan-Anders Karlsson.
Jan-Anders Karlsson: Thank you. So, concluding remarks. So 2019 is a very important year for Verona Pharma, obviously. There will be important value-creating clinical milestones before, especially with a nebulizer formulation, before the end of Phase II meeting with FDA and start of Phase III pivotal or regulatory trials for COPD that we talked about already for next year. We believe that the broad set of data obtained with the nebulized ensifentrine formulation, including the ongoing Phase IIb study and our plan for regulatory Phase III trials will improve our chances of an attractive label for ensifentrine. So that is very important. Additional data with the MDI formulation, as we talked about, has the potential to provide further alternatives for COPD patients that are symptomatic and are looking for normal treatments with a different mode of action from what their currently used medications have. And most importantly, the new data with the DPI formulation that we just talked about, demonstrated a very good bronchodilator effect, a dose-dependent effect and a very nice trough effect, demonstrating durability over 12-hour dosing period and of course, it was well tolerated. And we believe these data set significantly enhances ensifentrine's commercial potential. So we look forward to catching up with some of you next week in New York City. We will be at the BTIG Biotech Conference on Monday, August 12 and then we are presenting at the Wedbush PacGrow Healthcare Conference on Tuesday, August 13. So thank you, operator. This concludes today's call.